Operator: Hello and welcome to Scientific Games 2021, Second Quarter Investor Conference Call. At this time, all participants are in a listen-only mode. A brief Question and Answer session will follow the formal presentation.   Please note, today's event is being recorded. Now I will turn the conference over to Jim Bombassei, Senior Vice President of Investor Relations for Scientific Games. Mr. Bombassei, you may begin.
Jim Bombassei: Thank you, Operator. And good morning, everyone. During today's call, we will discuss our Second Quarter 2021 results and operating performance, followed by a question-and-answer period. With me this morning are Barry Cottle, our CEO, and Mike Eklund, our CFO.  Our call today will contain statements that include forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements involve certain risks and uncertainties that could cause actual results to different materially from those discussed during the call.  For information regarding these risks and uncertainties, please refer to our earnings release issued earlier this morning, the materials relating to the call posted on our website, and our filings with the SEC.  We will also discuss certain non-GAAP financial measures. A description of each non-GAAP measure and a reconciliation of each non-GAAP measure to the most directly comparable GAAP measure can be found in our earnings press release, as well as the investor section on our website.  On July 15th, we made a proposal to acquire the remaining 19% interest in SciPlay and Scientific Games does not currently own. We cannot comment further on that proposal at this time. As a reminder, this conference call is being recorded. A replay of this webcast and accompanying materials will be archived in the Investor's Section of our website at scientificgames.com.  Also, supplemental reference slides are available on our Investor Relations website. These slides are meant to facilitate your review of the Company's results. Now let me turn the call over to Barry.
Barry Cottle: Thanks, Jim. Good morning everyone and thank you for joining us. We are excited to be here today to talk to you about our great progress, including what we've achieved over the past year, and our path forward to unlock significant value. What a difference a year makes.  A year ago, with the onset of COVID, we experienced significant headwinds in our business. But with the focus and dedication of our great teams, we emerged from the pandemic, a much stronger Company, with significant momentum across all of our businesses.  Together, with our new Board, we recently announced a strategic action plan to transform our Company, taking decisive steps to move from a holding Company to a Company singularly focused on building great games across platform. People love to play games, and there is a huge TAM which we are uniquely positioned for.  We're moving rapidly with plans to divest our Lottery and Sports betting businesses, streamlining our organization and accelerating our efforts to deleverage and invest for Growth.  No Company will be able to match our ability to build great games and franchises fully cross-platform.  On our last earnings call we outlined for you our 3 strategic pillars, and we're making great progress executing on them to unlock significant shareholder value and become a sustainable growth Company.  First, we are moving quickly and thoughtfully to optimize our Portfolio. We are very encouraged by the discussions and the strong interest we are seeing across the board for our Lottery and Sports Betting businesses. We continue to believe the tremendous value in these businesses is best unlocked by divesting them, and we see multiple avenues available to do so.  And as you know, on July 15th, we made a proposal to acquire the remaining 90% equity interest in SciPlay that Scientific Games does not currently own in all-stock transaction. Second, we're investing in our largest growth opportunities, both organically and inorganically in content and digital markets to accelerate growth.  In gaming, we focused our R&D spend, enabling us to build great games like MONOPOLY Money Grab, Coin Combo and Dancing Drums Prosperity, which has helped propel our North American Game Ops revenue to surpass 2019 levels. And also help fuel our performance at SciPlay and digital this year. We recently made smart targeted investments to accelerate our strategy from Lightning Box to Cucoi, to our new Las Vegas iGaming Studio.  And you should expect more of these investments over the coming months. And third, we're focused on significantly de-levering and transforming our Balance sheet as we continue to make great progress organically.  We reduced our net debt leverage from 10.5 to 7.2 times or by nearly 1/3 in just 6 months, we're confident that we're on the path to continued significant delivering as we pursue strategic alternatives for our Lottery and Sports betting businesses. We did what we said we were going to do.  And we're just getting started. Now turning to the results, what an amazing quarter we had. We delivered phenomenal growth with total Company revenue increasing 63%, AEBITDA more than tripling versus last year, and strong sequential growth. Remarkably, we generated a number of all-time Company records, including our highest quarterly AEBITDA ever and our highest year-to-date free cash flow ever.  And we delivered progress in important areas that demonstrated clear structural turnaround at gaming and clear momentum across our businesses. Now let's turn to our businesses, In gaining, we continue to see great progress with another successful quarter building on our momentum and growing share in our largest profit pools, the North America Premium Ops Market.  North American For Sale market and the Australian for Sale market, while continuing to maintain a leading market position and systems and tables. This success was driven by the strength of our new product roadmap.  The strong recovery in the U.S. market, including record GGR, and rebounds in U.K. and Europe following their market reopening’s. The foundation for the success is built on our strategy of having the best talent and enhancing our existing talent with executives like Rich Schneider, who will help champion our vision and drive collaboration across our businesses.  This strategy is already paying huge dividends. There is no better proof point of the enormous progress we're making than what we saw this past quarter in Gaming Operations. Total North America Gaming Ops revenue exceeded 2019 levels, with an improved install base mix as we benefited from the Kascada cabinet and higher average daily revenue.  Our North American premium install base grew for the 4th consecutive quarter and is also now above 2019 level. The success of Kascada continues to build with great games like Coin Combo, Ultimate Fire Link, and MONOPOLY Money Grab.  Kascada has reached over a thousand active units in our gaming operations install base in less than half the time of our most successful cabinet in recent history, the J43. Kascada is already in nearly 50% of our customer base. And on the back of the successful launch of Kascada in late Q2, we launched the Mural cabinet with games like Willy Wonka Dreamers of Dreams and 88 Fortunes Emperor's Coins.  With our 3-year plan, we have a strong pipeline of cabinet launches scheduled throughout 2022 and 2023. Now, on top of this, North American sales accelerated with improved capital cycles in the U.S. market and our new products like Kascada enabling us to sell over 3,200 units and grow our class 3 ship share meaningfully in the second quarter.  This success is carrying over to the Australian market, where we are seeing early momentum underpinned by an improved product portfolio with the Kraken Unleashed Family, which is our best performing franchise since 88 Fortunes.  Turning to our systems business, we have embarked on a modernization program to enhance the success of our cross-platform strategy, and provide a seamless player experience. In our Tables business, we're continuing to focus on innovative products.  success in growing our both offering, which is a Subscription-based Bundled Service, enabling our customers access to unlimited world-class Table Game content.  Gaming is a key part of our new organization and strategy going forward. And it's demonstrated success this quarter is confirmation of the great opportunity that lies ahead for this business and its ability to drive shareholder value.  Moving to lottery. The team delivered another record quarter of revenue and AEBITDA along with strong sequential growth, fueled by record instant retail game sales in the U.S. and a number of markets globally, strong draw games performance, and continued momentum in iLottery.  The instant lottery business continued its strong run, with U.S. calendar year-to-date instant game sales up 21% over last year, and up 30% versus 2019. Internationally, our Italy instant product JV achieved record performance, up over 20% year-to-date versus last year, which was the previous best year-to-date sales ever.  Our Lottery business continues to be the market leader. And importantly, we have pre-imminent market positions and long-term client relationships, with our largest customers having been with us for more than 30 years on average.  We've been able to build on our success and accelerate our growth with our unique technology in IP, enabling us to provide unparalleled products and services that are revolutionizing the way lottery products are sold globally across retail and digital. This leadership position with strengthened with a number of key gains in the quarter.  First, we were announced the winner of both the instant games and lottery systems contract for Pennsylvania. This is a huge win. They are one of the top-performing lotteries globally. And we couldn't be more excited to continue to partner with them for the next 10 years, as we've done for nearly 50 years.  Second, we extended our New Hampshire Lottery partnership for 6 more years and importantly, upgraded them to a Scientific Games enhanced partnership, which brings our U.S. SGEP partners to 14 and our global partnerships to over 20. In addition, we secured 3 European instant contracts in the countries of Bosnia, Denmark, and Georgia.  In iLottery, we continue to be a leader and innovator as partner to 21 iLotteries globally. A great example of this is our Pennsylvania iLottery Program, which continues to evolve and thrive, hitting over 2 billion in Q2 in total wagering since inception. The fastest iLottery program to reach that milestone.  We went live with a new iLottery program in Germany, , launching digital instant games with a shared prize pool, creating a great cross-platform experience with our retail and instant games. With the U.S. iLottery market estimated to grow fourfold 11 billion by 2025, our iLottery business has many years of high growth ahead.  During the pandemic, over 20 million new players in the U.S. tried instant scratch games for the first time. And where the average instant selling price climbing to all-time high, more consumers are playing instant lottery than ever before, and they're spending more each time they play.  With Lottery's long-term customer relationships, its strong recurring cash flows, a demonstrated resilience in down markets. And with multiple growth drivers ahead, Lottery is a truly unique business, poised to deliver outsized returns for many years to come.  Now, turning to SciPlay. On the back of a strong Q1, SciPlay delivered sequential growth in the second quarter on both the top and bottom line. With the second-highest quarterly revenue ever, trailing only the COVID impacted Q2 2020. SciPlay continues to execute extremely well in its Social Casino business.  Hitting another record performance for Gold Fish and launching a new version of Quick Hits, while continuing to improve payor metrics. SciPlay's payer focus and live ops strategy, powered by the SciPlay engine, enabled us to achieve record ARPDAU of $0.72 and record payer version of 8.5%.  The 6th quarter in a row of increasing Payor conversion and importantly monthly paying users and average monthly revenue per user remain well above pre-COVID levels. SciPlay is accelerating its evolution, moving aggressively to expand in the $20 billion casual genre with the launch of Solitaire Pets Adventure and the development of a new casual game, Project X.  Where the acquisition of Cucoi games. Project X will have a full team with years of casual game development experience driving its expected launch in the latter part of 2022. Switching to our iGaming and sports betting businesses.  Our strong momentum continued as we delivered another record quarter of digital revenue and AEBITDA, while enhancing our capabilities and scaling our offerings, further differentiating us from the competition. iGaming's record quarter was driven by the strong performance of our original content offering, record U.S. GGR, the successful launch in Michigan, and a growing share of the U.S. market.  In the second quarter, we grew our U.S. revenue 106% year-over-year, while growing our U.S. share to 25% in the states we are live. A key differentiator is the breadth and quality of our content offering, providing our Partners with over 3,000 titles and an unparalleled level of high-quality must-have content.  The integration of our iGaming platform with the market leaders increasingly makes us an essential partner for both operators and content studios. Our recent deal with Playtech is a great example.  In terms of must-have content, players have an affinity for land-based franchises they know and love, and we have an unparalleled offering led by our original land-based franchises, including games like 88 Fortunes, the number one game in the U.S., Rainbow Riches, which is a standout in the U.K market, and our MONOPOLY themed games, which drive performance globally. To underscore this point, we recently launched Jin Ji Bao Xi in Michigan.  And it has been our most successful game launch since our initial entrance in the market. In fact, our original games generated close to 40% of our GGR in the U.S. in the second quarter. The demand for great iGaming content is growing and we are expanding our studio capacity to meet this demand.  We recently acquired Lightning Box, which is a top performance studio in the U.S. market and just launched a new iGaming studio in Las Vegas, which will be focused on developing games from our land-based franchises. And we see continued opportunities to scale.  With the recent launches of our iGaming platform in West Virginia and in Latin America. In Pennsylvania with the recent integration with Bundle and with more integrations planned in the , in the back half of the year, including Barstool and Gold nugget. And with further opportunities on the horizon in Connecticut and Ontario.  With the growing pipeline of opportunities as we integrate with new customers, secure partnerships with more third-party studios, and had a strong roadmap of land-based titles going live in the back half of the year. We feel great about the path forward.  Turning to our Sports Betting business, we have an unparalleled position with Tier 1 operators around the world with the most advanced sports betting tech platform and content, able to support volumes and uptime that are unrivaled in the industry. Our business continued to build on the strong momentum from Q1 with record second-quarter results, as we grew our U.S. revenue by 205% and we powered over 100 million bets at the European Soccer Championships.  We continue to rapidly scale our U.S. footprint, deploying 8 sportsbooks in the U.S. in the second quarter. This included deploying sportsbooks with FanDuel in five states, and with  in two states. And post-quarter end, we launched 3 additional sportsbooks with FanDuel in New Jersey, Pennsylvania, and Virginia, all on the same day.  And we now power FanDuel across all other U.S. states. This momentum continues with more than 30 U.S. sportsbook deployments anticipated for the full year 2021. We're also leaning into sports betting content, an adjacency where we see tremendous opportunity for growth and a real differentiation.  We recently acquired SportCast and their award-winning BetBuilder product. With SportCast, fans can create their own bets and define the story of a game. We're moving quickly to integrate SportCast with leading operators and are already live in 9 U.S. states. Looking ahead, we see continued momentum at sports with recent legislative progress in the U.S. and with a growing pipeline of opportunities around the world.  We have over 40 opportunities globally that we're pursuing, with deals advancing in Africa and South America as we look to expand our footprint in these fast-growing territories. So before I turn over to Mike, I want to reinforce that we are uniquely positioned with a number of significant catalysts.  We are currently seeing continued momentum in our businesses. And over the coming years, we see meaningful growth on both our top and bottom lines. One thing that has been consistently reinforced over the past year is that people love to play games. And we will be clear beneficiaries. And now, Mike will speak to the Financial results.
Mike Eklund: Thanks, Barry. And good morning, everyone. It is great to be speaking with you today. Before I get started today, I'd like to just quickly echo Barry's comments. What a difference a year makes and what a year this has been. As an organization, we have accomplished a tremendous amount, operationally, financially, and strategically.  Our teams around the globe have instilled a new level of discipline and focus across all of our businesses that's very encouraging to see. It is this commitment to excellence that enabled Scientific Games to deliver the great results we are sharing with you today.  Now before we get into the quarterly results, I wanted to share some thoughts from the intended divestitures of our Lottery and Sports Betting businesses. We continue to move these deals forward at a rapid pace and they are progressing nicely.  I have been lucky enough to be involved in a number of these deals over the course of my career. And I've rarely seen the level of interest that we're seeing in these assets. It speaks to what great businesses they are. The leading positions they hold in the market. And the opportunities that they have in front of them.  We continue to believe that there is a tremendous value and these businesses that is best unlocked by divesting them as the results this quarter further confirm. While we are moving quickly, we're also being thorough and thoughtful in the process.  These intended divestitures will enable us to continue to materially and quickly deliver the Balance sheet while providing us with the dry powder to invest, to grow, both organically and inorganically. We look forward to sharing more specific updates with you soon, but the process and the interest we are seeing from the outside confirm we are on the right path to unlock value for our shareholders.  Now with that, let's turn to the quarterly results. There are four things I want to highlight for you today. First, our strong momentum that we saw in Q1 continued on into Q2, enabling us to drive exceptionally strong results with revenue growing 63% and AEBITDA more than tripling year-over-year.  Importantly, all 4 of our businesses delivered sequential growth in the quarter with total Company revenue, excluding a $38 million one-time bet recovery benefit, was up 16% sequentially, and AEBITDA was up 27% sequentially. With both lottery and digital achieving another quarter of record results.  And our AEBITDA this quarter was the highest quarterly AEBITDA in our Company's history, even after excluding the benefit from the one-time bet recovery. Our total Company AEBITDA margin, excluding the $38 million VAT recovery, climbed to 41%, exceeding our margins in 2019.  This speaks to what has been a real priority for me and the teams around the world to ensure that more of every dollar that comes in the door drops through to the bottom line. Second, we continue to be laser-focused on managing our balance sheet, delivering a 133 million of free cash flow in the quarter.  Even excluding the VAT recovery, this was a very healthy free cash flow conversion rate, a real testament to how we are focused on delivering value for our shareholders. Third, we're making tremendous progress delivering, reducing our net leverage to 7.2 times, a reduction of over 3 times in just 6 months.  During the quarter, we paid down a $150 million on our revolver and another $150 million in July. That makes now $500 million in total since October. And fourth and finally, we continue to be diligent in managing our cost base and are on track for our target of $50 million of additional Run Rate Savings as we exit the year.  Keeping in mind, this is an addition to the 50 million in permanent savings we achieved last year. Now let's turn to the quarterly business unit results. Gaming saw strong growth in the quarter, both year-over-year and sequentially, with revenue tripling year-over-year, an AEBITDA rebounding to a 196 million from a decline in 2 Q of last year.  On a sequential basis, the business accelerated with revenue improving by a $123 million and AEBITDA by $88 million compared to the first quarter of 2021. The business benefited from the strength of the reopening, particularly in the U.S. Increased traction with our new product roadmap.  And the $38 million one-time bat recovery item that we talked about. It is very encouraging that the momentum is broad-based with all business lines in year-over-year and sequential growth as markets continue to open up globally.  From a productivity standpoint, taking out the bat benefit which impacted both the top and the bottom-line, the team's continued focus on driving productivity and efficiency delivered AEBITDA margins of 48% in the quarter. Now digging into the trends we're seeing and gaining a bit more.  We continue to see markets open up globally with nearly 90% of our North American installed base active with our U.K install ed base, approximately 60% active, and now up to 95% active in July. With our European installed base, we were 2/3 active in the quarter and again, post-quarter in July, we're now approaching 90% active.  We also saw very strong year-over-year coin-in at gaming operations. And we saw operator capital cycles improve, enabling global unit growth of approximately 2,400 units sequentially. Looking ahead, while we're keeping an eye on the recent rise in COVID cases and the potential for renewed restrictions, we see continued strength in our KPIs and momentum in the business ongoing through July.  With that, let's turn to lottery. The strong momentum in the business continued with revenue growth of 27% and AEBITDA increasing 42%, enabling the lottery business to post another all-time record quarter. The business grew sequentially with revenue up 7% and A EBITDA up 16% on the back of what was already a very strong first quarter.  The margin improvement for the quarter was fueled by the strong top-line growth and very strong performance from our joint ventures around the world. This accelerating revenue growth and margin expansion underscores the tremendous value of the lottery business.  As Barry mentioned, with industry tailwinds, we're seeing in lottery, we believe there are long-term growth outlook is fundamentally improved, taking into account the difficulty in predicting how long we will continue to benefit from the COVID specific dynamics we have seen over the course of the last year.  Now, turning to SciPlay, the continue to execute extremely well in the social casino business, growing revenue 2% and AEBITDA 4% sequentially, and producing our second-highest revenue quarter ever. Importantly, SciPlay is an integral part of our strategy and with the ability to scale and grow meaningfully, we see a pipeline of opportunities ahead as we invest in the business, both organically and inorganically.  Now turning to digital. The business continues to outperform delivering another record quarter with revenue growth of 27% and AEBITDA growth of 55% as compared to the second quarter of last year.  As a reminder, last year we had certain one-time items in the numbers that impacted the underlying performance of those businesses from a comparison standpoint. If we normalize per this, sports platforms and iGaming revenues grew 46% year-over-year and 8% sequentially.  Our segment KPI page and our earnings release has the normalized numbers for your reference. While our iGaming and sports betting businesses continue to benefit from industry tailwinds and our increasingly differentiated offerings in the marketplace, we anticipate there will be some impact to the business as restrictions and closures continue to ease.  Now, let's turn to net leverage, debt, and cash flows. This is an area that is a major focus and where we continue to make tangible and meaningful progress. We continued on our path of strengthening and de-risking the balance sheet, ending the second quarter with net debt of 8.2 billion and net leverage of 7.2 times, which compares to the peak net leverage at the end of the fourth quarter of last year of 10.5 times.  We expect to continue to make steady progress in the leveraging organically, given the increasing strength of our business and our focus on productivity. Our weighted average cost of debt was 5% and we ended the quarter with $1.4 billion of available liquidity, compared to $943 million in the second quarter of last year.  As a reminder, we don't have any maturities that come due until 2024. Now, moving to Free Cash flow, we generated a very impressive 133 million of Free Cash flow in the quarter and 213 million year-to-date.  A continued testament to how the organization as intently focused on driving value for our shareholders, the growth and free cash flow was driven by the strong year-over-year AEBITDA performance, partially offset by lower accounts payable balances this year. In closing today, I will just emphasize, we are well underway on this journey to unlock value for our customers, for our employees, and for our shareholders.  Both in the near term as we continue to deliver exceptionally strong results and in the long term as we execute on our new vision and strategy. The path forward for Scientific Games is differentiated. With a singular focus on building great gains and franchises that are fully cross-platform and with a more streamlined and simplified organizational structure.  While we are transforming the Company, we are also executing with a high degree of operational excellence, driving productivity that is enabled by our extremely talented teams around the world.  And a high-performance winning culture. I'm very proud of what we've accomplished as a Company, not only with the magnitude of the change, but also with the pace at which we're moving things forward. I'm excited about the opportunity.  That lies ahead. With that, we will be happy to take your questions, Operator, can you open the line.
Operator: Yes. Thank you. At this time we will begin the question and answer session.  At this time, we will pause momentarily to assemble our roster. And the first question today comes from Barry Jonas with Truist Securities.
Barry Jonas: Guys, good morning. I know you're limited in what you can say, but can you give any additional color on how the sales process for lottery and sports betting is going, sort of interest you have seen?
Barry Cottle: Thanks Barry. Before Mike jumps in on that. Let me just first start by saying, we are extremely happy with where we are. We are executing extremely well in delivering record results in Q2 and on the backend of 4 quarters of growth with continued momentum into Q3. We're progressing well on our strategy and vision to become a leading cross-platform global game Company. And also, we're seeing strong interest in our divested assets. Mike?
Mike Eklund: Yeah, Barry, good to chat with you again today, by the way. I just want to quickly say, something that Barry said because it is pretty amazing what our Digital and Lottery teams are doing.  They're running a very, very quality process at pace and also continuing to deliver record results in the quarter. The results for both of them this quarter were just fantastic. On the divestiture side itself, we're encouraged by the discussions we're having, externally, right now. We're very fortunate in our mind to have multiple viable options to monetize both of these assets. And based on what we're seeing, we believe we're going to be able to unlock some real value for our shareholders in doing so. As we've talked about over the course of the quarter, we're well along in the process. We're all moving at a very rapid pace as you might imagine, Given the market position of these leading businesses, we're seeing a lot of interest from the outside in at those businesses. We're going to be very thoughtful and thorough in the process, of course, and we've got nice competitive tension, which we're excited about as well. Ultimately, we have high confidence in the ability to make these things happen and bring them to a quick resolution, which should allow us to quickly realize our longer-term strategic vision that Barry has been talking so much about, and quickly deliver the balance sheet, create a bunch of dry powder to reinvest in growth both organically and inorganically.
Barry Jonas: That's great. Thanks for that. And then just for a follow-up question. Clearly, there's been a resurgence of COVID cases with this Delta variant. Can you just give maybe a little more color on what your seeing in the business in July and beyond?
Mike Eklund: You want me jump in then?
Barry Cottle: Okay.
Mike Eklund: I'll grab that one too. This is Mike again. It's interesting. It's an interesting question to ask right now, we said 4 straight quarters of growth. We just hit Company-level records in AEBITDA and revenue for the quarter. We had Lottery and Digital both have record quarters, and the SciPlay business just posted their second-highest revenue quarter ever only following Q2 of last year. So the business is doing really well at the time. It's tough to speculate on COVID and know exactly what's going to happen. But what I can say is through July, we just haven't seen a slowdown yet. In fact, if you look at a lot of the KPIs included against gaming with CoinIn and active units in the U.S., Europe, and UK, they're all expanding. And July was actually higher than the average, for all of Q2. So we feel pretty good about where we are now. I guess what I would say is, in the short-term, the good news is we found that we've got 3 businesses that are very resilient and do well even at a COVID related environment, right? And on the gaming side, we took some pretty tough measures last year of reposition that business from a cost standpoint with great new products that, we think -- short-term they're well-positioned to handle whatever the market throws at them. If we were to see restrictions reinstated, what we've also seen is that our players love to play our games and demand bounces back very, very, very rapidly, and we are seeing that demand on the point and numbers that I -- that we talked about so many times before. So longer term, I would just point you to, we think we're uniquely positioned with a lot of significant catalyst, so that over the coming years, were going to expect meaningful top and bottom-line growth.
Barry Jonas: Perfect. Thank you so much.
Operator: Thank you. And the next question comes from Jeff Stantial with Stifel.
Jeff Stantial: Hi. Good morning, everyone. Thanks for taking my questions and congrats on another strong quarter. I wanted to start on the gaming ops business, specifically international yields picking up nicely sequentially here during the second quarter. Could you talk broadly on how you see the recovery cadence progressing in your international off shelter to the U.S., specifically if you look at plan-based gaming ops and product sales?
Barry Cottle: Yeah, absolutely. I think, look, the great news here is we're seeing international markets open up. And as Mike said, people have to play games. And similar to what we saw in the U.S., players are coming back. We're seeing active units, revenue per day. CoinIn continued to improve, just like, again, as we saw in the U.S. And there's just considerable pent-up demand for our products. You probably remember back in Q1, UK was completely shut down. But it built up through the quarter and landed at about, I would say 95% active by June, which is great for us, as you know, because we have around 50% market share there. Europe was approaching 90% active by June. So we're seeing -- while Q1 was challenging internationally, in Q2, we saw good recovery in the market, and now we are set up to see a full quarter of that in Q3 as well. It's great to see the profit and we expect to see continued gains as restrictions starting to lessen.
Jeff Stantial: Perfect, thanks. That's very helpful color. And then for my follow-up, I wanted to touch on the margin outlook for the remainder of the year. Specifically, we have heard some commentary from some of your peers around supply chain issues. Is this a trend your seeing or any other potential cost inflation that we should be contemplating for the back half of the year?
Mike Eklund: Yeah, I'll take that one, Jeff, this is Mike and, Barry feel free to jump in on the backend too. I think there's two questions in there. One was the supply chain, and then one was just kind of the margin outlook for the back end of the year. On the supply chain piece, I think what I would say is this, we're obviously aware of all the issues that are out there in the marketplace. Not just in our industry. A lot of industries, quite frankly. But we think we're well-positioned. We are well-positioned to meet the demand. And so far we haven't really missed any revenue or margin, to note, because of supply chain issues. As you might recall, late last year, we were talking a lot about productivity, operational excellence, and those kinds of things. And we really went after the supply chain really hard. And I think that's got a setup well coming into this year. We've got a new team running the supply chain within our gaming operations business. They're doing a fantastic job. We have high confidence in them. They're not seeing any issues in Q3. We think we'll be able to meet all the revenue and all the margin demand that comes through there.  And then even on the lottery side, what I would say is, the lottery guys, you know their seeing demand off the charts versus historical levels of  will strength the supply chain, meet all that demand, hit these record results that were talking about and so, you know knock on wood, we feel good with where we are on the supply chain right now. We don't see any issues in the back half of the year for that. On the margin side we had a great quarter in margin, this quarter. One thing, just remember we did have that one time $38 million good guy for VAT running through the P&L that was in revenue of  margin and it was in cash flow. So that won't repeat itself. But the underlying businesses performing concludes well from a margin point of view, as you know, we've been focused on the $50 million cost out. We've been focused on another -- the 50 million that we already took out last year. We've been focused on productivity, operational excellence, all of those things are really helping the margin profile. I think Q1 is a good place to look for what the trends look like for the rest of the year.  There's always going to be some fluctuations quarter-to-quarter depending on the mix of business unit to the mix of products that we're selling, etc. But Q1 is a better baseline to look at for the full year. I hope that got welcomed.
Jeff Stantial: That was very helpful. Thank you, Mike. I'll pass it on. I appreciate all the color.
Mike Eklund: You bet.
Operator: Thank you. Now the next question comes from John DeCree with CBRE.
John DeCree: Good morning, everyone. Barry, I wanted to revisit your prepared remarks. I think you talked a little bit about the North American Premium installed base and how that on a couple of metrics had exceeded 2019. It's obviously been a focus of yours and the team for a while. I was wondering if you could help characterize how you think that business is ramping? How much is the demand we're seeing on reopening versus how much you're seeing from strategic initiatives that you've put in place already.
Barry Cottle: Thanks for your question. I'm actually super excited you asked that because we're really proud of the team and the amount of effort they've done over the last year to put in a great game plan, which includes a new roadmap focused on really large profit pools that we've talked about, a new commercial approach, and we're just seeing a tremendous progress we're making in that.  And it's driven by -- there's inputs and outputs, right? And the inputs are great new cabinets, great new games that we just launched at a perfect time in the marketplace, as the market is starting to recover. And so it's early in the journey, but your seeing the points on the scoreboard, right? So your seeing the outputs of it and it is a function of both. It's a function of riding the wave of the market recovery, but it's also taking share. So if you look at North America premium game op that you stated, grew for the fourth consecutive quarter now, above 2019 levels on the North American side, we achieved meaningful shift shares selling over 3,200 units as because of the products, right? Because  continues to break new records, the new cabinet out there, hit a thousand active users and units in less than half the time of the J43. And if you can remember, J43 was like our most successful cabinet in recent history. And It's outperforming that. And its layered on with incredible games Coin Combo, Ultimate Fire Link, MONOPOLY Money Grab. And on the heels of that, we launched Mural, which kind of in a soft launch at the end of Q2. But we have a big, robust pipeline for orders on that and we've got, again, amazing games like Willy Wonka Dreamers of Dreams, 88 Fortunes Emperor's Coins, so -- and a whole host of all the other games coming on board. So it's -- it really is a function of this new incredible team coming in with approach focused on the large pieces of the market, concentrating on doing what is right, which is building great products that the players love to play. And so we couldn't be more confident in our pipeline of cabinet and game launches that we have planned throughout the rest of the year, as well as in '22 and '23.
John DeCree: That's helpful, Barry. And maybe a tuck-in follow-up on that related to your content studio acquisition.  Lightning Box. How does that fit into the strategy specifically, will that support the premium category, and is that content studio M&A tuck-in something that you'll continue to look to deal with, if you continue to focus on content.
Barry Cottle: Yeah. In our vision to become the global game, leading global game Company in the world, we are going to take a franchise approach. Building great games, great franchises, and then deploying them across land-based, digital and social collectively. So it's really about, looking at it from a perspective of building these games that then we can leverage across these different group. And as we talked about, we want to lean in on digital and content and what Lightning Box does for us, it gives us a incredibly talented studio that really built authentic, what I would call kind of land-based type games. very effectively, in the digital space, and they've had very good success in the U.S. because of that. And so, if you think about our M&A strategy, we're really well-positioned today. The major pieces are in place to achieve it. But with that said, we're looking at content and digital focused acquisitions to help us accelerate because we've got a $50 billion digital TAM out there that we can leverage these great franchises we know players love to play. So we're already executing. Lightning Box was one example. Cucoi is another example of it. So really focusing on investing in high-growth areas, bringing in talented, great studios to help us drive and get there.
John DeCree: Excellent. Great to see the strategy really come into fruition. Congratulations on the quarter. Thanks for taking my questions.
Operator: Thank you. And the next question comes from Ryan Sigdahl of Craig-Hallum Capital Group.
Ryan Sigdahl: Good morning, guys. Congrats on the results. One in it actually, segues nicely off that last question you just answered, but as you consider potential iGaming content and acquisitions, and you can even speak to Lightning Box as well. But how much of an advantage is having OGS and access to see real-time game performance, player engagement etc., for not only your own games, but also third-party aggregated content?
Barry Cottle: Great question. Let me start by saying the OGS is actually an incredible asset that provides tremendous value to everybody in the value chain, right? And so if you think about it, we sit in the middle of the digital iGaming space, almost as kind of that Netflix, right? So for us, we deployed OGS to the top tier 1 operators, globally. And that gives them access to 3,000-plus games. Studio providers get great value because they get access to those operators without having to build their own RGS speed and trying to do individual distribution deals and so we provide tremendous value to them. For us, it really helps us get great insight to what's going on in the marketplace. The great -- it gets us in early relationships with these new studios, where we're working together to bring their games to market, and so gives us great insight. But then it also gives us an advantage on the M&A front because you always look for when you're making acquisitions, the ability to provide upside synergy. And that upside synergy is because of that distribution that we have. We can plug these studios in and give them massive distribution right away as a part of the equation and rationalization around our acquisitions. And so OGS is a tremendous asset for us.
Ryan Sigdahl: And then just a quick follow-up. Any financial metrics you can share around the Lightning Box acquisition? Thanks.
Barry Cottle: No, we're not -- right now we're not disclosing the terms of it. Obviously, it's immaterial from a Company, organization perspective.
Ryan Sigdahl: Thanks, guys.
Operator: Thank you. And the next question comes from David Katz with Jefferies.
David Katz: Hi. Good morning. Mike, I know you can't really comment on the process, but I'm wondering how you're thinking about where you might be able to land qualitatively speaking in terms of leverage. Are we thinking that we can land practically or actually investment-grade, or do you have a target in mind that you can help us?
Mike Eklund: Seems like I've heard that one from you before somewhere, David, but I'm happy to do it. Always happy to do it. No, the headline that we've been talking about, again, just to go back to it, is we want to move this quickly, from a debt story to an equity story. And we're not waiting until the acquisitions are done to get to that point and get focused on it. We're already making pretty decent progress on leverage. Just to recap what Barry said, we've had 3 turns reductions so far this year. Paid down another 150 million of debt in the quarter, another 150 million in July, 500 million since October. If you look at the consensus out there for 2021 and 2023, just organically, we get down low 6 and then low 5 respectively. All that's before the divestitures on the backend etc. Given how well advanced we are in the process on both Lottery and Sports, and the high confidence we have in our ability to execute and unlock real value for our shareholders in just the interest we're seeing. We're obviously going to able to go materially below that. And then once we get materially below that, what I promise Barry is I'm going to give them a war chest of dry powder and cash to go spend on organic and inorganic growth, allowing us to really get the top-line humming again, and get that digital mix where we'd like to see it over a period of time. So that's the game plan we're executing to. We have high confidence on our ability to do that. I'd probably think about it as a range more than a specific number, just given where we are in that M&A pipeline at any given time. But we're going to do all of that in the context of maintaining a transformed balance sheet once we get there and keeping those leverage levels where they need to be.
David Katz: Right. And you have not given a range at any point through this process?
Mike Eklund: I have not.
David Katz: You have not. Okay. And if I may just quickly follow-up in the spirit that we repeat ourselves for living. I know that you've talked about the installed base on the game ops, and just looking back in my model, it has been more than 4 years since we've seen an increase in that installed base.  And obviously the win per day is driven by a lot of the volumes we're seeing across the industry at this point. Could you just give us a little bit more color on how you got that to grow this quarter? And with respect to the win per day, how much of that should we think about is sustainable versus just this sort of 2Q  that we're seeing across the industry? And that's it for me. Thanks.
Barry Cottle: Yeah. This is Barry. I'm happy to jump in on that. Again, when the new team came in, they took a step back and looked at our product roadmap for the year and all the different markets we were going after. And we prioritized the largest profitable, North America game ops, North America sales, the Australian market, and really did a concerted effort of building products that would go at the heart of those spaces. And we began that -- we took both a commercial approach to that strategy, as well as developing great products. And what you're seeing is really the launch of our new products and games, having a real impact coming out of that focus. Because the Kascada success has led the way in helping us drive that growth that we're seeing, this sequential quarter-on-quarter. And so we're excited about it, and we're extremely confident and optimistic that we're going to continue to build on.
Jim Bombassei: Operator, we have time for one more question.
David Katz: Thank you very much.
Operator: Yes. Thank you. And that comes from Chad Beynon with Macquarie.
Chad Beynon: Hi. Good morning. Thanks for taking my question. You guys have been a leader in the systems business for years. I think at a times, that business generated over 300 million of annual revenues. Based on your quarterly results, it looks like the recurring piece of that business is really starting to come back. But can you help us think about the systems opportunity going forward? And then related to that, how the unified wallet and some of the cashless features are being accepted by your partners? Thanks.
Barry Cottle: Absolutely. I'll jump in on that one. So, as you talked about, we -- very similar to some of the other core pieces of our business. We came in and did assessment of it, put some new leadership, and thinking in place where the real thought that modernizing the both the business from a productization perspective, but also from a business model perspective. And we're leaning in on that again as I kind of said on the gaming side, we're still early in the journey, but we're seeing some good progress. The second piece of that, as part of the modernization, but also really pushing you know, toward where the new world is going and to convergence and cashless. We leaned in heavy and we leaned in early on cashless. And so we're really, really pleased where we stand there. There's a tremendous amount of momentum, obviously, that was initiated by COVID. As of today, we are live in 7 properties with about 13,000 machines connected and anticipate another 7 additional partner deployments in the next 12 months. We're also working towards the field trial in Nevada to get approval for cashless as well. But the core key point that I will remind you on that one is we are in, we're really, really well-positioned here because we're the leading systems footprint without 50% market share in about 400,000, 500,000 interconnected slots. And because of the deal we did with IGT to get the best collection of IP and technology, that's really required to build and deploy the best solution, really puts us in a great position because we are in that last mile of connecting the player to the cashless wallet, and so we're in a prime position there. We've got great team, leadership in place, and I really like the approach we're taking to the business. So thank you for the question.
Chad Beynon: Perfect. And then unrelated follow-up. Barry, can you talk about the digital margin opportunities in that segment? I guess once the sports business has been divested, should we assume that the margins in that segment start to increase, particularly given what you've talked about, with bringing a lot of the content in-house with Lightning Box and in your in-house studio? Currently, your margins in that business are right around 30%. Should we assume that a lot of the revenue you generate in the years to follow flows through to the bottom line? That's all from me. Thanks.
Barry Cottle: Yes, I will just say at a high level, and Mike can jump in as well, but I think to your point on, in the iGaming business, one of the things we love about it is you build -- we're leveraging this approach, just a franchise approach that we talked about. So we can take the R&D of building a game like 88 Fortunes and then amortize it across all of our businesses. And it is build once, and then deployed globally, in kind of a software recurring revenue model. And so the margins on the iGaming business are healthy and, it's also differentiated because games are not commodity. People love specific games that they love to play. That's why 88 Fortunes is number 1 in the marketplace today. You build a great game and you can build that market position and so it holds. And so at a high level, we do expect healthy margins on the iGaming business.
Mike Eklund: And I will only add to what exactly what Barry said, that business already has a very healthy financial profile today, growth margin and AEBITDA and cash flow. As we continue to grow and scale it, we're obviously going to get some benefit there as well. And then the real exclamation point that Barry said that I really like, is that content creates margin differentiation, which is why we're going after it for a strategy.
Jim Bombassei: Great. I'll turn it back over to Barry for some final comments.
Barry Cottle: Thanks, everyone. Really appreciate you joining us for today's call. We're very excited about the progress we're making and how much we accomplished in the past year. Our strong results demonstrates a clear momentum across all of our businesses and the focus and hard work of the talented teams. We're moving quickly to execute on our strategic pillars, unlock substantial value, as we optimize our Portfolio and invest in high-growth opportunities and significantly deliver. We're excited about our path forward and as we transform our Company and streamline our Organization with a singular focus to become the leading cross-platform global game Company. And with that, I want to thank you for your support.
Jim Bombassei: Great, Thank you everyone for joining us on our call. I'll turn it back over to the Operator.
Operator: Yes. Thank you. That concludes today's teleconference. Thank you so much for attending today's presentation. You may now disconnect your lines.